Operator: Welcome to the MBIA Inc. Fourth Quarter and Full-Year 2016 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead.
Greg Diamond: Thank you, Laurie. Welcome to MBIA's conference call for our fourth quarter and full-year 2016 financial results. After the market closed yesterday, we issued and posted several items on our websites, including our financial results press release, 10-K, quarterly operating supplements, and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the Company's 10-K and other SEC filings, as our Company's definitive disclosures are incorporated in those documents. We urge investors to read our 10-K as it contains our most current disclosures about the Company and its financial and operating results. The 10-K also contains information that may not be addressed on today's c call. The definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K as well as our financial results press release, and our quarterly operating supplements. The recorded replay for today's call will become available approximately two hours after the end of the call, and the information for accessing it is included in yesterday's financial results press release. Now I’ll read our Safe Harbor disclosure statement. Our remarks on today's conference call may contain forward-looking statements. Important factors such as general market conditions in the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-Ks and 10-Qs, which are available on our website at MBIA.com. The Company cautions not to place undue reliance on any such forward-looking statements. The Company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate. For our call today, Jay Brown, Anthony McKiernan, and Bill Fallon will provide some introductory comments then a question-and-answer session will follow. Now, here's Jay.
Joseph Brown: Thanks Greg. Good morning to everyone on the call. Thank you for joining us today. Although our reported income statement numbers were clearly a disappointment, our balance sheet continued to grow stronger albeit smaller, which will be a key to creating long-term shareholder value over the next few years. I am pleased to note that we've successfully completed several significant objectives since our last conference call. Anthony and Bill will address those accomplishments in greater detail and I will add that these accomplishments collectively have helped us to further improve the overall perception of our Company. More importantly they have also helped move us closer to a first special dividend to be paid by National. In the meantime, our insurance companies insured portfolios continue to significantly decrease and we believe that the number volatility and magnitude of remaining problem credits have also moderated. In addition, as National’s statuary capital has grown and its operating leverage has decreased markedly, its excess capital position has continued to increase. We have not repurchased any shares of our common stock since our last conference call, primarily due to a lack of significant excess liquidity at the holding company given the short-term potential needs and the run up of our stock price through the end of the year. However, over the course of the year 2016 we did purchase 16.6 million shares at an average price of $6.37 per share. And that had the greatest contribution to the $2.90 increase in our Company's adjusted book value during 2016. Our year-end adjusted book value stands at $31.88. Stay tune in 2017 and beyond as our holding company’s liquidity is now in great shape over the next few years. We have another $88 million to repurchase shares under the existing authorization from our Board. Share repurchases are likely to be the most significant tool that we will have to increase adjusted book value over the near-term until National's guarantee is more widely accepted by the market, which I believe will be primarily a function of the rating agencies reflecting National's absolute financial strength and a strong business model in their ratings of National. And as I mentioned earlier, subject to receiving regulatory approval, we are moving much closer to National paying a special dividends that would enhance our holding company’s resources to repurchase shares or deploy in other ways to enhance our shareholder value. On the new business front, we are very pleased with the progress National’s made regarding its reentry into the marketplace. Especially given that it’s S&P rating continues to be one notch below its two new business competitors. Bill will have more to say about that in his remarks. Anthony will cover financial results and will highlight our accomplishments regarding MBIA Insurance Corp's ability to continue to satisfy its insurance obligations. Including the payment we made on the Zohar II CDO which came due in January of this year. I don't know that it's fully appreciated what MBIA Insurance Corporation has done over these past nine years as it has satisfied over $17 billion in gross loss payments since the onset of the financial crisis and also reduced its outstanding gross par by $251 billion down to $19 billion following the sale of the UK operation. We are very proud that MBIA Insurance Corp., has been able to honor all of its insurance commitments and look forward to maximizing the returns to our note holders. As we have stated in the past, we do not believe that the results from MBIA Corp., will have any material affect whatsoever on MBIA Inc., shareholder value, but we are fully committed to working for its other constituencies. Turning to personnel matters, yesterday we disclosed that Ram Wertheim, our Chief Legal Officer and Secretary stepped down from those roles effective today and will be leaving our Company at the end of this year. He has been with us since we acquired CapMAC in 1998. His consul, insights and contributions have been quite significant and his strong business knowledge and solid technical skills have been very valuable to our Company during his tenure here. Over the last few years, we had already started what I expect will be a smooth transition as Jonathan Harris has been preparing to assume the responsibilities of General Counsel and Secretary. Jonathan joined the company in 2009 as Deputy General Counsel and Head of Litigation and immediately became engrossed in a myriad of legal actions where our companies were either a plaintiff or a defendant. As many of those litigations have since been resolved, we have expanded Jonathan's participation in various corporate and regulatory matters. I am grateful that we have the opportunity for another orderly succession of another key role at the Company. In addition, our management succession plans will take another step in May, when Doug Hamilton will step down as Controller and Chief Accounting Officer. Doug joined MBIA in 2000 and as overseeing our accounting staff and the accounting and reporting has expanded exponentially during his time here. Doug will be succeeded by Joe Schachinger, a long-term veteran. He has served as Deputy Controller since 2007. Now, Anthony will provide details on our financials in the MBIA Corp., activities and then Bill will provide an update on National's business.
Anthony McKiernan: Thanks, Jay, and good morning, everyone. We end the year with National's capital continuing to strengthen. The holding company well-positioned to meet our medium-term leverage targets and the consolidated enterprise in line to meet our expense reduction projections over the next two years. This quarter, the sale of MBIA UK was the most significant event to impact consolidated GAAP earnings as well as MBIA Corp's statutory results, due to the fact that the sale of MBIA UK was agreed to in Q4, but didn't close until early Q1 2017. The impact from the sale will be experienced over two quarters. While normally I would not address MBIA Corp., as it does not impact value to shareholders as the sale of UK, distorts our results over two quarters. I will spend a few minutes this morning on the topic. The Company reported a consolidated GAAP net loss of $265 million or $2.1 per diluted share for the fourth quarter of 2016 compared to consolidated net income of $82 million or $0.54 per diluted share for the fourth quarter of 2015. The unfavorable change was overwhelmingly due to pretax $278 million asset impairment from the sale of MBIA UK. The $278 million charge resulted from a write-down of MBIA UK’s carrying value to the fair value of MBIA UK, which reflected the expected net consideration to be received from the sale of the Company. As the sale occurred in Q1 2017, an increase of approximately $108 million will occur in GAAP equity due primarily to the reversal of net losses with an accumulated other comprehensive income related to MBIA UK. The Company reported a consolidated GAAP net loss of $338 million or $2.54 per diluted share for the year ended December 31, 2016 compared to net income of $180 million or $1.06 per diluted share for the prior year. The unfavorable variance in the financial result versus the prior year was primarily due to the previously mentioned $278 million pretax impairment from the sale of MBIA UK and a $148 million reduction of net gains on insured credit derivatives. I'm now going to spend a few minutes discussing MBIA Corp’s statutory results primarily to walk through the impact of the sale of MBIA UK. MBIA Corp., had a statutory net loss of $179 million for the fourth quarter of 2016 versus statutory net income of $79 million in the fourth quarter of 2015. The Q4 2016 results included $114 million asset impairment due to the pending sale of MBIA UK. Similar to GAAP, the $114 million charge was due to a write-down of the statutory carrying value of MBIA UK to its fair value. After other adjustments, the net decrease in statutory capital for the quarter due to the UK sale was $101 million. As the sale of MBIA UK was completed in the first quarter of 2017 in Q1 due primarily to the reversal of remaining non-admitted value of MBIA UK upon its sale and other related adjustments. MBIA Corp., will have an increased statutory capital of $130 million. Therefore, after giving full effect to sale of MBIA UK and MBIA Corp’s statutory financial statements over the two quarters, the impact of the sale of MBIA Corp’s statutory capital is an increase of $29 million. To illustrate this point, as of December 31, 2016, the statutory capital of MBIA Corp., was $492 million. On a pro forma basis for the first quarter 2017 considering only the effects of the MBIA UK sale, MBIA Corp’s statutory capital increases to $622 million. As of December 31, 2016 MBIA Corp’s liquidity position excluding its subsidiaries and branches totaled $201 million consisting of cash and liquid invested assets. As previously reported, on January 20, 2017 MBIA Corp., satisfied its insurance obligations related to the maturity of $770 million of outstanding principal on the Zohar II note. To facilitate its ability to satisfy its insurance obligations on the Zohar II notes, MBIA Corp., received $347 million of Zohar II notes in exchange for the sale of MBIA UK borrowed $363 million from the new financing facility that was established during the first quarter of 2017 and used approximately $60 million of its own liquidity. Claims paying resources totaled $1.9 billion as of 12/31/2016. MBIA Corp’s plan at this point is near-term liquidity management and devoting our primary focus on asset recovery related to our Credit Suisse RMBS litigation and the Zohar CDOs. Turning to combined operating income, our primary non-GAAP metric of short-term performance combined operating loss for the fourth quarter of 2016 was $6 million or $0.05 per diluted share compared to combined operating income of $10 million or $0.07 per diluted share for the fourth quarter of 2015. The unfavorable change was driven by National's $18 million increase and loss and loss adjustment expenses and $16 million reduction in net premiums earned. Approximately 80% of National's increase and loss in LAE expenses versus last year's quarter was due to a change in discount rates and not due to changes in our credit views of our Puerto Rico exposures or any new classified list credits. Combined operating income for the full-year 2016 was $30 million or $0.23 per diluted share compared to $87 million or $0.52 per diluted share for the full-year 2015. The decline in combined operating income for 2016 compared to 2015 was driven primarily by National’s $69 million of higher loss and loss adjustment expenses and $68 million reduction of net premiums earned. For the full-year, the increase in loss and loss adjustment expenses was due to a combination of changes in our discount rates due to rising interest rates, changes to probability weighted cash flow scenarios for certain credits and the addition of credits to our classified list. Due to the Company's net operating loss carry-forward, we are not currently subject to paying federal income tax, although we include a provision for tax. Our calculation of adjustment book value per share was refined in the fourth quarter of 2016 to exclude MBIA Corp., on a legal entity basis. The previous calculation excluded our international and structured finance insurance segment, which had a different accounting definition than the legal structure of MBIA Corp. The impact of the change was a reduction in our previously reported ABV as of December 31, 2015 of $0.71 per share to $28.98 per share. As of December 31, 2016 ABV was $31.88 per share. As Jay mentioned, the largest factor contributing to the $2.90 increase in ABV per share was the decrease in common shares outstanding due to share repurchases. During 2016, the Company repurchased 16.6 million shares of its common stock, which reduced its common shares outstanding to $135 million as of year-end 2016. We did not repurchase any shares in the fourth quarter. I would like to take a few moments to walk through highlights in the two operating segments; Corporate and U.S. Public Finance. The Corporate segment recorded GAAP net income of $26 million for the fourth quarter of 2016 versus a net loss of $15 million for the comparable prior year quarter. The $41 million favorable variance was primarily driven by a favorable change in the fair value of interest rate swaps and currency related gains related to the global funding MTNs. For the full-year 2016, the Corporate segment recorded a GAAP net loss of $93 million versus a net loss of $21 million in 2015 due to lower FX gains and a prior year gain related to the sale of our investment management subsidiary. The Corporate segment had a fourth quarter 2016 operating loss of $31 million versus an operating loss of $34 million for Q4 2015 and a net operating loss for the year of $90 million versus $101 million for the prior year due primarily to lower interest expense. As of 12/31/2016 MBIA Inc., had an ending liquidity position of $403 million which excluded its tax escrow compounds of $329 million as well as approximately $700 million in assets pledged to the GICs and interest rate swaps. The Corporate segments total assets as of 12/31/2016 were $2.5 billion which includes deferred tax asset of approximately $1 billion. Of note, MBIA Inc., received a $118 million as-of-right dividend from National as scheduled in Q4, and received a tax escrow release of $94 million in January 2017. U.S. Public Finance’s GAAP net income was $41 million for Q4 2016 versus $51 million for the fourth quarter of 2015 due to a higher loss in LAE and lower earned premiums. For the full-year 2016, National recorded GAAP net income of $176 million versus net income of $191 million for the prior year. The decrease is due to higher loss in LAE expenses and lower earned premiums somewhat offset by investment gains. U.S. Public Finance’s Q4 2016 operating income was $25 million compared to $44 million in 2015s Q4 and $120 million for the year 2016 versus $188 million in 2015. Similar to our GAAP results, the drivers of the reduced income were lower earned premiums and higher loss in LAE primarily associated with Puerto Rico. National’s capital adequacy and liquidity positions remain extremely strong, anchored by National's $4.2 billion investment portfolio, which is primarily comprised of highly rated marketable securities. And now, I will turn it over to Bill who will provide further guidance on National.
William Fallon: Thanks Anthony. Good morning, everyone. As Jay and Anthony have noted National has continued to make strong progress despite the difficult interest rate environment. I’ll comment on our new business production activities, capital strength and Puerto Rico exposures. During the fourth quarter of 2016 National insured $871 million of par value in the primary and secondary markets combined was our highest quarterly production since reentering the market. For the full-year, National insured $1.6 billion of par which was almost triple the $597 million that we insured in 2015 and insured over 100 issuer client transactions. Given our emphasis on sound credit underwriting, we do not set business production targets, but we are confident that our production will continue to grow especially as we further increase the market's understanding of National’s strong business model and capabilities and as we move closer to achieving credit ratings parity with our bond insurance competitors. We also believe that higher interest rates will help to increase insurance production for our industry. The bond insurance industry penetration for 2016 was 5.7% of the total municipal issuance compared to 6.2% penetration for 2015. Although, insured par on an absolute basis increased slightly year-over-year. Of the insurable market that is new issue municipal bonds with BBB through A ratings, the insured penetration was 13% for 2016 and 14% for 2015. While potential tax code changes are currently being discussed, it is too early to know the precise impact on the municipal market. However, any changes that increase borrowing costs will highlight the value of bond insurance to municipal issuers. As I've said before, we remain confident that our industry will experience growth over the coming years in large part due to the value the bond insurance provides to issuers and investors and we believe National is well-positioned to participate in that growth. From a financial perspective, National ended the year in a strong position with $3.5 billion of statutory capital and $4.6 billion of claims paying resources. As National's insured portfolios continues to amortize, its capital position and its capital ratio continue to improve. National's insured portfolio reduced by another $15 billion of gross par during the fourth quarter of 2016, ending the year at $110 billion of gross par outstanding. Year-over-year National's insured portfolio decreased by $51 billion. National ended the year with a leverage ratio, gross par to statutory capital, of 32 to 1, down from 48 to 1 at year-end 2015. We have estimated under S&P's existing stress test that National had about $1.7 billion of excess capital relative to S&P’s AAA capital requirement as of 12/31/2016. As we mentioned on last quarter's conference call, we plan to have National pay several special dividends over several years. We intend to seek approval for National to pay its first special dividend as we continue to make further progress with favorably resolving our insured Puerto Rico exposures. This would be in addition to the as-of-right dividend that National expects to pay to MBIA in the fourth quarter. On Tuesday, Puerto Rico Governor Rossello submitted a 10-year fiscal plan to the PROMESA Oversight Board as required. The Board has set a March 15 target to certify a fiscal plan while the plan does not detail restructuring proposals it states that a strategic imperative is consensually renegotiating and restructuring debt obligations through Title VI of PROMESA. Furthermore, the plan emphasizes the need for long-term economic development in Puerto Rico which we believe is of critical importance for all stakeholders. We expect subset of engagement with the Commonwealth this month regarding PREPA and our other Puerto Rico credits. In January, the governor asked the PREPA creditors for an extension until the end of March to review the restructuring support agreement that almost 70% of PREPA’s bondholders reach with PREPA. While we await the governor's review, we continue to believe that the PREPA restructuring support agreement provides a workable framework for resolving PREPA’s credit profile in a way that's well balanced and fair to all parties and is consistent with the strategic imperative put forth by the governor to negotiate consensual deals with creditors and the governor's energy reform agenda. We expect to continue to work with the governor and other Commonwealth officials, the Oversight Board and other creditors to address Puerto Rico's challenges while aggressively pursuing the repayment of all National insured debt and the claims we have already paid. Overall, we continue to believe that there are reasonable approaches for favorable outcomes of the Puerto Rico credits that we've insured. Outside of Puerto Rico, the other credits in National’s insured portfolio are performing within our expectations. Now, we will open the call up for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Chas Tyson of KBW.
Chas Tyson: Hey, guys, good morning. First question, I just want to ask about the excess capital position, how you think you return to shareholders, I know you said that you're looking to resolve the Puerto Rico situation and then potentially seek approval. I mean is that something that could be in 2017 assuming that we go according to the Oversight Board’s timeline?
Joseph Brown: The answer is yes. Given the developments in Puerto Rico and the expectation as I mentioned that we will be engaging in a meaningful way starting with PREPA we would expect it's very possible and we would hope that we could have a special dividend before the end of the year. But as you know the timing is always a little bit hard to predict with persuasion, but yes that is the hope and the plan.
Chas Tyson: Okay. And then on PREPA, I know there's been some media reports of varying discussions on the utility and what may or may not being sought by the governor and his associates. Is that a deal where you guys are willing to kind of go back to the table and negotiate further and potentially take commensurate with other creditors or is that something where we're happy to stay put where you are?
Joseph Brown: I think at this point we're going to wait as I said the governor asked for time to review the agreement, we believe he is doing that right now and as I said we expect that we will hear from the governor and his advisors and administration shortly.
Chas Tyson: Okay. And then last one just on the new business and your market share looks like it ticked a nicely in the fourth quarter. Can you just talk about what you saw in the market in 4Q from the market overall and competitors and then how you're thinking about penetration going forward as interest rate potentially raise?
Joseph Brown: Yes, in terms of the increase in interest rates keep in mind, 2016 we saw extremely low really historically low interest rates. We start 2017 about where interest rates were at the beginning of 2016, however the expectation obviously that interest rates will continue to go up, which we think is very good for the industry, because first and foremost, we believe that it is very important for the industry to grow. We think the value proposition that the industry provides is critical and it's very compelling to both issuers and investors. In terms of what we saw last year some of it is unrelated to interest rates and the competition given the reentry that National had a few years ago, we continue to reach out talk to more market participants gain greater acceptance, really getting people to using insurance and then see the value of it, especially in the trading value. So a lot of this is just the ongoing effort, a little bit of a snowballing effect and while we don't expect it every quarter will see an increase in par and sure we do think that our long-term trend is definitely headed up as we saw throughout 2016.
Chas Tyson: Okay. Thanks very much guys.
Operator: Your next question comes from line of Andrew Gadlin of Odeon Capital Group.
Andrew Gadlin: Hi, guys. Thanks for taking my question. Just another couple questions probably on the special dividend. How do you balance the desire to pull cash out of National with, I assume a desire to get an upgrade to AA or is it actually not that meaningful to you to have the upgrade?
Joseph Brown: No, the upgrade is very important to us as set all along and again that's why we emphasize the excess capital that we have. So while there are multiple factors that the rating agencies look at in particular when we emphasize the S&P model. In terms of capital strength, we are AAA under that factor and given the capital model that is used, we have as I stated by our estimation, $1.7 billion above the AAA level. Now we're not going to pull out $1 billion or $1.7 billion, which you would be think about the model as you could do and still be AAA, but we think there's plenty of room there to have special dividends and still maintain our capital strength and ultimately move up to a higher rating.
Andrew Gadlin: Got it, and then in terms of PREPA, if I could ask question there, because it ties into - just give me amount of debt service in the near-term and they kind of tied together, I think I mean there's about $175 million of debt service in PREPA coming this July? Do you expect as these conversations with Governor Rossello move forward, they made payments on debt service in January, out of just the cash flow from PREPA? Do you expect them to do the same thing in July?
Joseph Brown: You are talking about PREPA now?
Andrew Gadlin: Yes, exactly. It seems that’s July 1 is $175 million due July 1 roughly, I assume that those two issues are tied together, a special dividend and whether or not PREPA makes its debt service on its own July 1?
Joseph Brown: Yes. First of all with regard to PREPA, as I said we expect meaningful discussions to start pretty soon on those and so we'll see whether or not they're going to make a payment in July at this point that scheduled then we would expect that they will make that payment though, we’ll wait and see what's needed in terms of the overall discussions with them. That is not high to the special dividend. So keep in mind, the $170 million or so that you just referenced. That really deals with the liquidity that National needs and National as was pointed out by Anthony has over $4 billion of very highly rated liquid securities. So we can make any payments. And that also is different than the ultimate losses that we might have on any credit whether that be PREPA or any other credit that we might pay because we often have 100% recovery on some of these. That's not an estimate as to specifically what would be recovered under any of the payments made on the Puerto Rico credits, but a payment on a claim is not going to have an impact on the special dividends that we seek later this year as I outlined earlier.
Andrew Gadlin: So when you think about that liquidity mismatch potential, you're going to get a 100% recovery, but cash could go out the door near-term. Do you think that has an impact on your S&P rating and has an influence on whether or not you can get an upgrade?
Joseph Brown: No. It won't have an impact on a rating in an adverse way that I think you're implying. In terms of giving an upgrade, the rating agency in particular S&P has looked at the Puerto Rico exposure and several times they've stress tested it and they still say that we have by our estimate $1.7 billion of excess above the AAA. So from a capital perspective, we are very strong in terms of the way the rating agency looks at it.
Andrew Gadlin: Got it. And then in terms of proceeds for the special, what would you think with share buybacks or would it be debt reduction?
Anthony McKiernan: Probably a bit of both, we'll look at what opportunities where we can optimize, but we are focused on our leverage targets of the holding company. At the same time, we think we’re in the position now where when we see - we will also be able to take advantage of share repurchases without any real concerns at all about the holding company’s liquidity position.
Andrew Gadlin: Got it. Okay, so it will be a little bit of both presumably?
Anthony McKiernan: Yes.
Andrew Gadlin: Okay. Thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Michael Temple, a Private Investor.
Unidentified Analyst: Good morning, gentleman. Thank you for taking my call. Couple of quick questions, you noted that with amortizations year-over-year that your leverage ratio came down rather meaningfully from 48:1 to 32:1. As you look forward in 2017, any guidance as to what you project year end 2017 leverage to look like? Or we see a similar reduction of roughly 16 turns, how do you look at that?
Anthony McKiernan: Yes. Couple comments with regard to leverage, keep in mind that historically the bond insurers go back pre-finance our crisis when you have both public finance and structured, it was not unusual for that leverage number to be in excess of 100:1. So the level that we're now operating at is really probably below any ideal level. It is a very strong balance sheet at this point in time. In fact the S&P criteria to be a AAA, bond insurer requires that you have leverage lower than 75:1 because historically getting below 75, we view to be something that was extremely unlikely. So the fact that we went from 48 to 32:1 over the course of the year, yes in the early part of this year you're going to see a further reduction in the leverage, but it's not something that we're setting a target that we want to get below 25 or below 20. In fact if anything as I said the level that we're operating at when we get new business to a higher level and we dealt with Puerto Rico may change as well.
Unidentified Analyst: Okay. Couple more quick follow-up questions. With regard to reengaging your primary business, and again thank you for sharing with us those figures. In your mind, I mean I know this is kind of finger to the wind kind of question, but do you get a sense that there could be a very large acceleration in your ability to write new business upon favorable ratings actions from S&P and/or favorable resolution to Puerto Rico to put investors further at years that Puerto Rico is truly kind of rearview window problems for you in the industry?
Joseph Brown: Yes, I think several things, one i.e. increase in interest rates as I mentioned, while that won't see sort of a step function change at any point in time. The fact that the expectation is that they will increase if in fact they do, we think that will drive our activity up as well as the industry. I think then the two things you mentioned being Puerto Rico as the first one. We think that might have sort of a step function increase. I'm not going to predict how much that would be. And then second getting to ratings parity with the competition, which was the other point you mentioned, same thing we would see sort of a step function increase, but yes, I'm not in a position to tell you it goes from X to Y. But I think you're correct directionally and where the impact those two items would have.
Unidentified Analyst: All right, thank you and then just one final question and again, forgive me for not perhaps appreciating the nuance. As of now you have additional buyback authority remaining of approximately $88 million you stated, you also stated - I just want to make sure I have this right. You do have pending special dividend requests in front of the respective insurance boards and then you hope to have an additional special dividend request upon some kind of favorable resolution at Puerto Rico, is that correct and if so are you able to disclose at this time what you think the already special dividend might be, again leaving Puerto Rico aside?
Joseph Brown: Yes. Just the way the process works were regulated by the New York Department of Financial Services, that’s New York State Department of Finance Services. Special dividend from National up to MBIA Inc., requires DFS approval. We have not put in a request at this point in time for approval of a special dividend. What I did mention I think in addition to our plan of getting several special dividends over several years is we have and as-of-right dividend that would be paid in the fourth quarter of 2017 from National up to MBIA Inc.
Unidentified Analyst: And can you share that dollar amount figure at this time or?
Anthony McKiernan: The as-of-right dividend this year was about $118 million. I would expect over the next year would be a similar amount next fourth quarter.
Unidentified Analyst: All right. Thank you very much gentlemen.
Operator: At this time, there are no further questions. I will now turn the call to Greg Diamond for any additional or closing remarks.
Greg Diamond: Thank you. Laurie, and thanks to all of you for listening to the call. Please contact me directly if you have additional questions. We also recommend that you visit our website at mbia.com for additional information on the Company. Thank you for your interest in MBIA. Good day and good-bye.
Operator: Thank you for participating in today’s conference call. You may now disconnect your lines and have a wonderful day.